Operator: Thank you for joining us for the Vectrus Fourth Quarter and Full Year 2018 Earnings Conference Call and Webcast. Today's call is being recorded. My name is Jane and I'll be the operator for today's call. [Operator Instructions] And now, I'll pass the call over to your host, Mike Smith, Vice President of Investor Relations and Corporate Development at Vectrus.
Mike Smith: Thank you. Good afternoon, everyone. Welcome to the Vectrus Fourth Quarter and Full Year 2018 Earnings Conference Call. Joining us today are Chuck Prow, President and Chief Executive Officer; and Matt Klein, Senior Vice President and Chief Financial Officer. Slides for today's presentation are available on our Investor Relations website, investors.vectrus.com. Please turn to slide 2. During today's presentation, management will be making forward-looking statements pursuant to the Safe Harbor provisions of the federal securities laws. Please review our Safe Harbor statements in our press release and presentation materials for a description of some of the factors that may cause actual results to differ materially from the results contemplated by these forward-looking statements. We assume no obligation to update our forward-looking statements. At this time, I would like to turn the call over to Chuck Prow.
Chuck Prow: Thank you, Mike. Good afternoon, everyone. Thank you for joining us on the call today. Please turn to slide 3. We had a solid year in 2018 reaching several important public company milestones. Importantly, we remain on track to achieve our five year goals of $2.5 billion in revenue with 7% EBITDA margins. From a financial perspective, we had a strong end of the year with fourth quarter results that showed double digit year-over-year improvements in both revenue and adjusted diluted earnings per share. Additionally, expanded EBITDA margin 50 basis points year-over-year, all phasing in several new business wins. For the full year, we reached several milestones to the public company, with record revenue, operating margin and adjusted diluted earnings per share. With revenue for the full year increased 15% compared to 2017 and adjusted diluted earnings per share increased 35%. We continue to focus on expanding our margin profile and increased EBITDA margin by 30 basis points. I am especially pleased with our ability to expand EBITDA margin given our team's focus on phasing in approximately $350 million of new business that was won throughout 2018. A major positive financial attribute of Vectrus is our ability to generate strong, predictable cash flow. In 2018, our team continues to emphasis cash generation and grew net cash from operations 13% year-over-year which represents 114% cash conversion compared to net income. We ended 2018 in the strong financial position with $9 million in net debt, which will afford us the flexibility to execute our long-term strategy. We have spent considerable time establishing a solid foundation for Vectrus and strengthening our core. This is demonstrative in our portfolio diversification strategy which continues to show momentum in 2018 as our revenue with the Air Force increased almost 50% year-over-year. Additionally, the acquisition of SENTEL in 2018 provided access to new clients in the intelligence community. We are seeing solid traction with this new client and see significant opportunity for expansion of our core business. We are also successful in achieving geographic diversification and grew our revenue in the US and Europe by 60% year-over-year. In 2018, we initiated Enterprise Vectrus which is an enterprise wide program to combine our performance improvement initiatives under a single Enterprise wide management system. We've made great progress implementing Enterprise Vectrus in 2018 and successfully established a regional service center which leverages our global presence, enhances client support and lowers costs. We also have several other initiatives underway which we believe will improve client delivery, efficiency and create competitive differentiation. Regarding LOGCAP V, bids are submitted and award notifications are expected 12 April, 2019. Vectrus remained well positioned to win a seat on the contract vehicle and the CENTCOM area of responsibility or AOR. As a reminder, Vectrus is the largest service provider to the DoD and the CENTCOM AOR with incumbency on a major portion of the enduring CENTCOM workload expected under the LOGCAP V comp construct. It is also important to note that during 2018, we continue to solidify our position in the region through two additional new contract wins in Kuwait, Jordan and United Arab Emirates. We continue to believe that Vectrus winning the LOGCAP V CENTCOM area of responsibility to provide significant continuity and mission assurance to the DoD. On related note, we recently received our latest contractor performance assessment report from our army client on the K-BOSSS contract which will be incorporated as an enduring task order into the LOGCAP V competition. I'm proud to announce that we once again receive the highest possible ratings across all evaluated areas. Additionally, subsequent to the fourth quarter in January, we were notified by the US government of its intent to exercise an option to extend K-BOSSS until March of 2020 with an additional six-month option period through September of 2020. Our growth related activities have resulted in significant new business and expanded scope of existing work which is represented in the $1.4 billion of contract bookings in 2018. These awards resulted in a total backlog at your end of $3 billion. Our large backlog is another unique attribute of our business and provides significant visibility representing approximately 2.3x the midpoint of our 2019 revenue guidance. Please note that our total backlog does not include any value associated with the potential K-BOSSS extension past March of 2019. I'd like to thank our team of approximately 6,700 global employees for their execution in 2018 and our clients for their continued confidence in our business to support their missions. Please turn to Slide 4. I like to spend the next few minutes talking about our business strategy and opportunities. We have made great strides in executing our three core strategies of enhancing the foundation, expanding the portfolio and adding more value. And position Vectrus to grow and innovate in the emerging, converged, infrastructure market. We believe that the strength of our core capabilities combined with the emerging converge addressable market presents a significant opportunity to grow and to continue to transform Vectrus into a more diverse, more capable and higher value platform. During the year, we made significant progress enhancing the foundation of both our facilities and IT business to new wins, increase scope on existing contracts, the development and insertion of new solutions, as well as successfully integrating both clients and capabilities from our first acquisition. Expanding the portfolio with new clients, new capabilities and new solutions is transforming our business into a more balanced, higher value platform. On today's call, we address growth in our Air Force, Navy and intelligent community clients. The introduction and growth of our new technology enabled solutions and the growth of our pipeline by the execution of discrete, highly differentiated campaigns. In short, due to technological change in advancement and cost pressures, our clients are rapidly moving to integrated infrastructure solutions which we refer to as the converge market. The Vectrus strategy fully embraces has changed and we expect to lead with our clients to this exciting future. As we move to this converged future with our clients, we will continue to drive our strategic execution to adding more value. Whether we are adding more value as contract types move from cost type to fixed price or we insert technology into new or existing infrastructures or we move to more as service type offerings or we improve the performance of our core business and advisory processes, we will drive better value for our clients' mission and Vectrus' business performance. One quick final comment on the market. The federal market that Vectrus has historically operated in client purchase services and non integrated ways. Services like IT and facilities management are rarely purchased together. In the converged market, at facility and infrastructures are becoming IT enabled, digitized and sensor. Clients are purchasing and more integrated fashion, Vectrus continue to take steps to position for the buying behavior through solutions development and capability expansion. The net result of the transition is that Vectrus will have greater access to both traditional O&M funding in addition to an increasing spend on operational technology to be inserted into government infrastructures. Additionally, we will have access to adjacent international markets where large infrastructure related prime contractors, while looking for O&M providers with both operational and digital competency. Please turn to Slide 5. That can be seen from the results in portfolio composition on the right hand side of the slide, we have made substantial progress and strengthening the foundation of Vectrus and further building a unique platform that is a leading provider of facility and based operations, supply chain and logistics services, IT mission support and engineering and digital technology services to US federal government, primarily the DoD and the intelligence community. Our core competency in Vectrus is operating in global and all secured environments. Our geographic presence in 22 countries, as well as our capabilities is differentiated versus many competitors given the complex global operating and performance requirements. For example, in terms of competition in our primary markets we generally see a dozen or so viable competitors of varying sizes. Irrespective of size, we've been able to compete effectively against these competitors which are demonstrated in our new business wins. In 2018, our facilities and logistics services comprise 74% of total revenue and are aligned to strong and enduring funding sources. For reference, today the Department of Defense has 234 major active military installations that require an annual budget of over $25 billion for Operations Support. Additionally, these DoD facilities require sustainment, restoration and modernization programs, which have an annual budget in excess of $12 billion. Regarding the 26% of our revenues that come from our IT and network communication services, we focus on providing mission centric support. Our capabilities include agile software development, communications, network and cyber security, sensor integration and fusion, electromagnetic effects, spectrum management and border and perimeter surveillance. Today, we are also piloting the insertion of important new cognitive, robotics and artificial intelligence capabilities to improve the resiliency and reliability of our supported missions. Our core facilities and IT capabilities are differentiator and important to future growth at the traditional market for our services is changing as we migrate toward the converge market. This migration will require technology insertion which we are well on our way to doing. This technology insertion will be a key component of our future margin expansion, driven by a greater amount of fixed price contracts from which we can apply innovation and solutions. For example, in 2018 we won approximately $350 million of new business of which 60% is fixed priced in nature. As you can see from the pie chart in the middle of the slide five, this is a significant change from our current contract mix which consists of 22% fixed price type work. 2018, we made great progress expanding our client portfolio and footprint. As you can see from the pie chart on the bottom of slide five, approximately 27% of our revenue comes from clients outside of the army. Notably this is 11 percentage points higher from where we were in 2016 and now includes new clients such as the intelligence community. Finally, and as mentioned previously, we continue to make good progress diversifying our geographic presence with a 60% increase in both US, in European revenues over the prior year. Please turn to Slide 6. Over the past two years, we have made significant investments in growth and business development, which have resulted in higher win rates across the board and helped Vectrus to achieve client and contract diversification. We believe these investments as well as our internal initiative position Vectrus to execute on our new business pipeline in 2019. Our current new business pipeline is $9.1 billion and includes almost $8 billion of opportunities we plan to bid over the next 12 months, which is up from almost $7 billion of opportunities we had at this time last year. Additionally, we currently have $1.4. billion of bid submitted awaiting award. Just to reiterate, this is all new business to Vectrus. In total, with a larger pipeline and a quick and increased win rates, we see excellent opportunities to continue our growth path. On the top of slide 6, we highlight some of our new contracts that we won in 2018. Of note in September of 2018, Vectrus was awarded a position on the US Army's I Test 3s contract vehicle. And the multiple award IDIQ contract vehicles will enable the army to procure information technology services throughout the world. The I Test 3s contract replaces the predecessor contract I Test 2s and has $12.1 billion ceiling with a period of performance including options through September of 2027. Importantly, this is a contract vehicle that Vectrus who does not have in the past and we look forward to leveraging our strong IT capabilities which includes operating the largest overseas army cyber center to compete for task orders under this new vehicle. Please turn to Slide 7. As previously mentioned, our diversification strategy is yielding demonstrable results and is tied to Vectrus growth campaigns. Our campaigns lay out a deliberate approach to growth in a specific client center market by establishing differentiated value, strategic positioning, and tailored attack plan and a specific goal to build or take market share. In 2018, we continue to advance our US Air Force campaign which has resulted in an almost 50% revenue growth year-over-year with this important client. We are proud of our progress serving the Air Force client and notably our recent $84 million contract award to provide support services at Sheppard Air Force Base which builds on our Maxwell and Keesler Air Force Base contract wins. Now with almost a $0.5 billion worth of successful contract wins, Vectrus is a largest full and open based operation support services provider to the Air Education and Training Command. We have done a great job expanding our presence with the Air Force and we are currently a trusted provider of facilities and logistic services to the Air Force in nine countries. As you can see this targeted campaign has yielded positive results and we are currently executing a similar campaign with the US Navy. We are seeing early progress with our Navy campaign and in the fourth quarter were awarded a $60 million two-year task order to provide support services at Naval Station Guantanamo Bay. Importantly, subsequent to the fourth quarter, we were successful in winning our Navy fleet systems engineering team, RSF recompete which we have supported since the program's inception in 1999. This is $151 million task order under which we will continue to provide end-to-end engineering support for C4I systems to US Navy's afloat force. This recompete win in addition to our successful new business awards are examples of how we are applying innovation to our existing business and future opportunities through our offset program Vectrus management next-generation contract and Naval Station Guantanamo Bay win, Vectrus have been successful in expanding its Navy footprint, and we look forward to further growth and opportunity with this important client. Please turn to Slide 8. In 2018, we further implemented Enterprise Vectrus and are beginning to demonstrate improving performance and enhance margins. In aggregate, based our projects currently underway and other identified initiatives, we believe that over the course of our five-year strategic plan, Enterprise Vectrus will add approximately 80 basis points of EBITDA margin improvement to our 2018 level. Additionally, technology based solutions and client mix are a growing component of our portfolio and strategy to differentiate and achieve 7% EBITDA margin. In 2018, we introduced several solutions focused on energy management and operational technology solutions which include Argus, a Vectrus IT Mission Support solution that produce as aggregate sensor, video and map data on a single screen. This platform helps client close gaps in security operational efficiency and time management. Additionally, we successfully infuse commercial operational technologies to introduce process automation for work order management and rapid onboarding of system access on one of our key contracts. Finally, we made excellent progress in advancing our as a service or white-label and converged infrastructure capabilities. This includes Vectrus thermal coding which is a white label product, our water purification solution and power generation as a service. We will continue to advance our solution through in-house development, joint ventures and partnerships or through M&A. As you can see on the chart, we anticipate Vectrus solutions and client mix to drive a large portion of our margin improvement over time. Please turn to Slide 9, regarding LOGCAP V, Vectrus remains well positioned for an award and we are the largest service provider to the DoD in the CENTCOM AOR with incumbency on a major portion of the CENTCOM workload that is expected under LOGCAP V. Additionally, our client continues to score performance on this work at the highest possible levels. Our current K-BOSSS contract which are our largest program representing approximately 40% of our 2018 revenue will be a major portion of the enduring CENTCOM workload expected under LOGCAP V. As DoD potentially realigned its contingency operations overseas, which could include reduction in troop level in certain areas near and within CENTCOM, we believe there is a significant benefit to being the incumbent on the largest enduring army base in the AOR. 17 January, 2019, we were notified by the US government of its intent to exercise an option to extend our contract until March of 2020 with an additional six-month option through September of 2020. As a reminder LOGCAP V was an $82 billion ten-year IDIQ contract. They are expected to be up to six IDIQ contract awards; one award will be made to support each of the DoD six global combatant commands, while Afghanistan will be treated as its own area of responsibility. Retaining the K-BOSSS contract will require SEDAR LOGCAP V contract and winning The Associated CENTCOM AOR. Bids for LOGCAP V are currently under evaluation with awards expected on 12 of April, 2019. With approximately $900 million of annual revenue in the Middle East, Vectrus is a largest service provider in the region, and we believe that Vectrus award of the CENTCOM AOR would provide significant continuity and mission assurance to the DoD. Now I'd like to turn the call over to Matt who will go through our financial results.
Matt Klein: Thank you, Chuck. Good afternoon, everyone. Please turn to Slide 10. We reported strong fourth quarter and full year 2018 results. In the fourth quarter of 2018 revenue was $330 million, up $34 million or 11% compared to the fourth quarter of 2017. Operating margin in the fourth quarter of 2018 was 3.8%. EBITDA margin was 4.2% and diluted earnings per share were strong at $0.89. For the full year 2018, revenue was $1,279 million, an increase of $165 million or 15% as compared to 2017. Operating margin for 2018 was 3.8%. EBITDA margin was 4.1% and diluted earnings per share were $3.10. Importantly, as you can see in the chart on the upper right-hand side of the slide, our historical revenue demonstrates the predictable nature of our business. Additionally, our EBITDA margins are expanding versus historical levels and are expected to accelerate with Enterprise Vectrus initiatives and scale. Our growth related initiatives during the year resulted in approximately $1.4 billion in contract bookings, with $350 million representing new business to Vectrus. These efforts help propel our total backlog to $3 billion. As Chuck mentioned, with a significant new business pipeline and increased win rates, we are confident in our ability to continue to achieve additional new contract wins in 2019. We realized strong cash flow from operations in 2018 finishing the year at $40.1 million, up 13% year-over-year which translates into 114% cash conversion compared to net income. As you can see on the chart on the bottom right hand side of slide 10, our ability to generate strong cash flow is an important characteristic of our business. We expect to continue generating over 100% cash conversion compared to net income in 2019 and beyond. Through our strong cash generation in 2018, we're able to acquire and completely pay off the SENTEL acquisition and end the year with $9 million of net debt. Our financial position remains strong and we continue to focus on deploying capital prudently on efforts that support our growth strategy. Please turn to Slide 11. Today, I'll be discussing our financial results for the three months and year ended December 31, 2018. In the fourth quarter of 2018, revenue was $330 million, up $34 million or 11% as compared to the fourth quarter of 2017. The increase in revenue is due to favorability on US programs of $13.1 million, $7.2 million from European programs and $13.5 million from Middle East programs. During the quarter, K-BOSSS contributed $134 million to revenue or 40% of total revenue. Operating income for the fourth quarter of was $12.6 million or3.8%, an increase of $2.3 million or 30 basis points compared to the fourth quarter of 2017. This change is due to an increase in revenue, partially offset by an increase in SG&A cost related to the addition of SENTEL. EBITDA for the three months ended December 31, 2018 was $13.9 million or 4.2% margin, representing an increase of $3.1 million or 28% as compared to the prior year period. Net income for the quarter ended December 31, 2018 was $10.1 million compared to $41.6 million in the fourth quarter of 2017. Net income in the fourth quarter of 2018 was favorably impacted by an accelerated tax deduction of $1.8 million that is not expected to reoccur in the future. Additionally, net income in the fourth quarter of 2017 was favorably impacted by a change in tax code by $35.1 million, a direct result of revaluing deferred tax liabilities from the previous 35% federal tax rate to the new 21% federal tax rate. Adjusted net income for the fourth quarter of 2018 excluding the aforementioned one-time tax benefits was $8.3 million, compared to the adjusted net income for 2017 of $6.4 million. Diluted earnings per share for the fourth quarter of 2018 were $0.89 compared to diluted earnings per share of $3.70 in the fourth quarter of 2017. As mentioned earlier, fourth quarter of 2018 and 2017 were favorably impacted by one-time tax benefits of $0.16 and $3.13 per share respectively. Adjusted diluted earnings per share for the fourth quarter of 2018 were $0.73 compared to $0.57 in the same period of 2017. Now I'd like to discuss the financial results for the year ended December 31, 2018 reflected on the table at the bottom of slide 11. Revenue was $1, 279 million, an increase of $165 million or 15% as compared to the 2017. The increase in revenue is attributed mainly to increases from our US programs of $103.2 million, our European programs of $45.1 million. In our Middle East programs of $16.2 million. During the year, K-BOSSS contributed $517 million to revenue or 40.5% of total revenue. Fully year 2018 operating income was $48.3 million, up $7.1 million or 70% when compared to the same period in 2017. This change is due to the impact of increased revenue, partially offset by an increase in SG&A cost due to the addition of SENTEL in 2018. Net favorable adjustments to operating income for the year ended December 31, 2018 and 2017 were $1.6 million and $11.6 million respectively. Operating income as a percentage of revenue was 3.8% for 2018 compared to 3.7% % for 2017. Full year 2018 EBITDA was $52.1 million, up $9.2 million or 22% when compared to the same period in 2017, EBITDA as percentage of revenue was 4.1% for 2018 compared to 3.8% for 2017. Net income for the year ended December 31, 2018 was $35.3 million compared to $59.5 million for the same period of 2017. As previously discussed, net income for the full year of 2018 and 2017 were favorably impacted by one-time tax benefit associated with tax reform. Adjusted net income excluding the one-time tax benefits was $33.4 million in 2018, up 37 from $24.4 million in 2017. Diluted earnings per share were $3.10 compared to diluted earnings per share of $5.31 for the same period in 2017. Adjusted diluted earnings per share were $2.94, up 35% from $2.17 in 2017. Year-end 2018 net cash provided by operating activities was $40.1 million which is an increase of $4.7 million compared to the same period in 2017. The cash conversion when compared to net income was 114%. As of December 31, 2018 our leverage ratio is 1.25x which is well below our covenant level of 3.0x. Total debt at the end of the year was $75 million, down $4 million from the same period in 2017. Our cash balance was $66 million resulting in $9 million of net debt. Our financial position remains strong, and we continue to focus on deploying capital prudently on efforts that support our growth path. Please turn to slide 12. For the fourth quarter of 2018, total backlog was $3 billion; funded backlog was $688 million. Our new business wins, successful recompete awards in addition to scope expansion through performance and client partnerships on existing contracts has resulted in solid total backlog providing future revenue visibility. Please note that our current backlog does not include awarded value associated with K-BOSSS beyond March 2019. As discussed on January 17, 2019, we were notified by the US government of its intent to exercise an option to extend the K-BOSSS contract until March 28, 2020. And an additional six-month option period through September 28, 2020. We expect that once finalized, the new K-BOSSS extension would add over $400 million of value to backlog. Total backlog includes both funded and unfunded backlog and represents firm orders and potential options on multi-year contracts. Our contracts are multi-year contracts and the right to exercise an option period is at the sole discretion of the US government or the prime contractor when we are subcontractor. Total backlog excludes potential orders under indefinite delivery and indefinite quantity contract and new contract awards that are under protest. Please turn to Slide 13 where I will discuss 2019 guidance assumptions. For 2019, we expect revenue to be in the range of $1.3 billion to $1.33 billion with a midpoint of $1.315 billion. In terms of quarterly revenue cadence, we expect revenue in the first quarter of 2019 to be at similar level to the first quarter of 2018. And to build through the year, as recent new business wins becomes fully phased in and specific contract projects are executed. We have solid visibility heading into 2019 as 97% of our revenue guidance at the midpoint is expected to come from existing contracts. Our 2019 revenue guidance assumes the extension of K-BOSSS through the entire year and does not contemplate any scope changes or modifications associated with a LOGCAP V award. Operating margin is expected to be in the range of 3.8% to 4.2% with a midpoint of 4%. EBITDA margin is expected to be in the range of 4.1% to 4.5% with a midpoint of 4.3%. Part of our 2019 margin improvement is expected to come from the advancement of supply chain management and continued progress on enterprise Vectrus. Net income will be in the range of $35.3 million to $40.4 million. Diluted earnings per share will be in the range of $3.07 to $3.51, the midpoint of diluted earnings per share is $3.29. The range for diluted EPS assumes an estimated $11.5 million weighted average diluted shares outstanding. 2019 net cash provided by operating activities is expected to be in the range of $40 million to $46 million. Regarding capital expenditures, it is important to note that our 2018 capital expenditures were $10 million, which was higher than historical levels. The elevated capital requirements in 2018 were driven by our reinvestment into our new headquarters facilities and by a few contracts that required capital expenditures and delivery services to clients. It should be noted that when capital expenditures are contract related, the associated costs are considered in the contract price and will be recouped all or in part over the performance of the contract. Capital expenditures for 2019 are expected to be approximately $8.5 million driven by our application modernization project of $4 million with the remainder coming from program requirement. Depreciation and amortization is expected to be $4.1 million in 2019. 2019 mandatory debt payments are $4.5 million. Interest expense is forecasted at $4.7 million and we currently estimated 21% tax rate for the full year of 2019. Now I'd like to pass the call back to Chuck for some closing remarks.
Chuck Prow: Thank you, Matt. To summarize, Vectrus is on track to achieve our five-year goal of $2.5 billion in revenue and 7% EBITDA margin. In 2018, we had solid performance which included double-digit revenue and diluted EPS growth, strong cash flow generation and we had a $350 million of new contract awards to the backlog. Additionally, we maintained strong strategic execution and we have momentum within our business to include continued activities to enhance our foundation. We have sufficient pipeline to continue growing and diversifying our revenue portfolio. And we are adding value to enterprise Vectrus and through solutions. We are well positioned for LOGCAP V and finally, our 2019 guidance is supported by a solid backlog and opportunity pipeline. With that I'll turn it back for questions.
Operator: [Operator Instructions] Our first question comes from the line of David Williams with Drexel Hamilton. Please proceed with your question.
DavidWilliams: Hey, good afternoon. And thanks for allow me last couple of questions. First congrats on the quarter and the progress you guys are certainly moving right along .So that's very nice to see and congrats there. I wanted to see if you could talk a little bit about the ongoing discussion to reduce the overseas contingency footprint. And how that may impact your business thinking kind of maybe a little longer term. How does that affect your base offering in the Middle East and in overall the K-BOSSS contract?
ChuckProw: That's right. How are you doing and thanks for calling in today, it is good to talk to you again. So in general the bases that we support throughout the Middle East and Turkey for that matter are enduring basis. So we are seeing a bit we'll call it up tempo declines particularly in Turkey at Incirlik, but in general I expect to see a stable revenue base, and it's that revenue base is reflected in the guidance that Matt just described.
MattKlein: Yes. Just to give you an anchor on Turkey, Spain we have an AOR operation inherent resolve contract mod that averaged about $30 million a year. We don't expect that to change dramatically in 2019 but that that would be something outside of the normal base operations on in select.
DavidWilliams: And Matt I think on the last calls you have mentioned you can see organic growth in the -- option ranges is came off kind of remain at the current level through the year. Is that still kind of the right way to think about it if it's nothing changes in that contract if we're at a steady state?
MattKlein: Sure. So let me kind of walk you forward to 2019 expectations, if you use the 2018 results of [1289 or 79] the first change that we're working with is change in scope on contract, existing contracts or contract close outs. In the discussion around Turkey is one of the things that we're seeing some headwinds from a revenue perspective. The other item we had an IT contract closeout in mid-part of next last year that's also putting some pressure in our year-over-year change. And that that de -scopes and our scope changes in contract close outs contribute a negative about $75 million year-over-year. On the positive side, we have our significant contract wins that we won in 2018 phased in at different times during 2018. They will contribute about $60 million incremental in 2019 and then lastly, we're expecting about 50 or so million dollar related to contracts we have in the pipeline now. We expect to win an earn revenue in 2019. And just to kind of give you some reference on that number, we won about $100 million or we earned about a $100 million of new contracts in 2018 that were either won in 2017 or won in 2018 and that's the same estimate that we have going into 2019.
DavidWilliams: Thanks for the color. And then maybe think about the M&A front, what level of comfort in terms of leverage do you think you're willing to take at this point just thinking about opportunities for M&A transactions and just kind of how you see that? Is there -- are there any holes you need to fill any gaps you would be wanting to step out and maybe expand that leverage a bit just in order to get a better handle on a specific point of the business.
ChuckProw: Well, we are very actively looking at M&A opportunities, again as I stated many times we're not going to acquire for scale sake, we're going to acquire based upon our strategy; to enhance our capability then to grow client set. We've said on several occasions that a debt to EBITDA is 3 to 3.5 ranges is about as much as we would go and as you can see from our net debt right now we have a lot of flexibility, and we're continuing to look at several opportunities in the marketplace. And that will continue to do so.
MattKlein: Yes. Let me add some color too, our current covenants are at 3x. We do have an acquisition holiday that gives us another quarter turn that would give us some flexibility. I think the SENTEL type acquisitions that we encountered in 2018 kind of fit perfectly within that. We would potentially buy an asset to what Chuck said that aligns with our strategy and then quickly pay it down. So if we in our current covenant, if we reach 3x that won't be there for very long. Now larger deals we have to consider outside of the covenant would just be a different financing attribute.
DavidWilliams: Okay, right, very good, appreciate that. And then maybe lastly for me as you kind of think about the labor pool, are you having any issues I guess filling the position that you may have open? Is that a constraint at this point or you not seeing any issues there?
ChuckProw: With the labor market is tightening, remembers, though that a good deal of our revenue is overseas revenue. I continue to be very pleased with the retention of our existing workforce and our ability to backfill in the open position. So it is true that the labor market is tightening but I feel very confident with our ability to keep our contract staff at their maximum level.
Operator: Our next question comes from the line of Joe DeNardi with Stifel. Please proceed with your question.
UnidentifiedAnalyst: Hey, guys. This is John on for Joe. First question is pretty easy for you all, you may have already said it, and it's just kind of curious what's the organic growth in the quarter?
ChuckProw: So the organic growth in the quarter is a little under 1%, but for the full year is 4.7% and organic is defined by less SENTEL. The overall growth was 15% in total in full year.
UnidentifiedAnalyst: Okay. So you guys have reiterated your long-term guidance and for that $2.5 billion but growth here looks to be a little bit more moderate than what we were thinking going into the quarter. Can you kind of give us your thoughts around Vectrus' long-term growth? I mean is this growth that you're seeing in the pipeline right now or is there something you can point to that's going to be driving that long-term growth after 2019 and 2020 that you can kind of talk about.
ChuckProw: We feel very strong about not only our pipeline but the campaigns we're executing within that pipeline. I continue to see positive results from a win rate perspective. So we're going to continue grow that pipeline organically. We're going to look for very targeted M&A opportunities and that's the path John and I feel that the marketplace is receiving our strategy well again as evidenced by or win rates.
MattKlein: And I would also say, John, we -our teams have really been focused on LOGCAP and re-procuring that. So the last 18 --12 months or so that has been our focus and once that's behind us and we expect an award in April. That gives us some more capacity to do some other things.
UnidentifiedAnalyst: Okay. I also think at the time I keep on asking questions, if you don't mind I think the one thing that's really been on some investors minds have been the up-tempo color that we're seeing coming out of CENTCOM. When you look at how the Pentagon is framing their footprint there in CENTCOM how should investors think about that opportunity of winning LOGCAP V? Is this a growth opportunity or is it basically going to be steady as it goes if you can retain that work on LOGCAP V?
ChuckProw: You can never predict the future which is the essence of contingency contract like LOGCAP. I will say that LOGCAP V is very different than its predecessor contracts. And that LOGCAP V includes the enduring base footprint. So I'm very pleased to say that we have the largest enduring base footprint in the region that by the very nature of those bases being enduring, they are there in sustainment mode even when individual operations may begin to curtail. So again you can't predict the future, but the enduring base footprint is a very important way to look at a presence in the CENTCOM AOR.
UnidentifiedAnalyst: Okay. And lastly and then I'll jump back in the queue. Can give me an update on the AMDX walk-up? How we should think of the timing of this award and if you could give us any color on the past performance that would be fantastic. Thank you.
ChuckProw: Yes. First of all, our past performance remains very strong. We are very pleased with our client relationship and our mission performance first and foremost. The procurement is underway and we expect an award by the end of this year, although it's still so early in the procurement and things can tend to slip to the right a bit. So performance remains very high. Our client intimacy remains very strong and again we remain very confident with regard to our prospect for the recompete.
Operator: Our next question comes from the line of Joe Gomes with NOBLE Capital. Please proceed with your question.
JoeGomes: Good afternoon, guys. You talked a little bit a couple times about improvements in win rates and I was just wondering if you could provide a little bit more color or detail there? Where you were in the past and where you guys are today and where you think you might be able to go in the future?
MattKlein: Yes, okay. I can start, so I think our campaigns, focus campaigns around certain clients is really important to understand each-- but each client has a different buying pattern and attributes that are important to them for performing facilities and logistics and IT work for the agency. So our Air Force effort in the last year or so as we said in our prepared remarks has been really, I would say outstanding. So we're real pleased with that effort. Our Navy campaign is also advancing in a very positive way and we expect some better --some improved results in the next couple years. Beyond that I think it takes a little bit of time to mature these processes and really to work through our strategies and our pricing and I think our results on the last couple of years have been great.
JoeGomes: Okay, thanks on that. I just wondered if you might be able to provide a little more color detail on some of the work you guys are doing in the intelligence community as much as you can. And how big of a business is that to you guys now and fast is it growing and how big you think you can get to?
ChuckProw: So it's, first it's under 3% of our business. We don't break out individual clients in detail if you will, but I will tell you that the work we do in the intelligence community is very complimentary to the work that we provide to the military. It's a very large addressable market. We are in our infancy of attacking the intelligence community campaign, but I feel highly confident given our past performance with the DoD that we are going to be a kind of market share taker if you will, over the coming years. We're investing in that marketplace both from a talent and a capability perspective and it is one of the areas that we feel very strongly about for the future.
Operator: You have a follow-up question from the line of David Williams with Drexel Hamilton. Please proceed with your questions.
DavidWilliams: Hey, guys. Just wondered to see if you could help me understand a little -- the K-BOSSS contract and is that rolling to LOGCAP and kind of how that I guess impacts the revenue trajectory but kind of thinking about K-BOSSS or excuse me LOGCAP being awarded in April. Assuming you were on that contract how would the K-BOSSS contract slip I guess and how is that that stepped out over the next couple of quarters or maybe through the year? It doesn't necessarily just in the K-BOSSS and pick up at LOGCAP right. So there'll be some time before that will begin.
ChuckProw: Yes as we indicated in the prepared remarks that we expect to receive an extension on K-BOSSS for one year to March of 2020 with an additional six month option. So our anticipation is that a transition either to our self or to body else will occur throughout the remainder of 2019 and early 2020 and a transition to the new approach will happen sometime on or about March of 2020. Again with that potential for a six-month option. So we fully expect the same K-BOSSS relationship for the next year with transition planning to occur toward the end of that period.
DavidWilliams: Okay, great. And do you have any other largely companies that are coming up this year?
ChuckProw: On Deck is the largest recompete that we just described in the prior question.
Operator: We have another follow-up from the line of Joe DeNardi with Stifel. Please proceed.
JoeDeNardi: Thanks again for taking my question here. Just to the follow-up here is what is the customer saying about your push to move into this integrated base and injecting technology into the mission? What are the aspects that they're most interested in and when you think about it what's kind of the timeline for them to go from where they are now to where the technology and the base operations aspect are all kind of merged into one larger contract?
ChuckProw: I will frame it this way and I spend a good deal of my time around the world in the field talking to clients. The range is from receptive to demanding. So our clients realize that they can no longer drive down cost and improve resiliency by purely labor based methods. And so they are very open and in fact in many cases demanding that we innovate and find better, faster, cheaper ways to perform the same mission at lower cost and with greater resiliency. As you may know, I mean this trend has been in the commercial infrastructure markets for a while now and I'm very pleased to see where our clients are and they're again receptivity. And they all realize that this is the way that they are going to provide greater capabilities at a lower cost point. End of Q&A
Operator: Ladies and gentleman, as appears there are no further questions at this time. This concludes today's teleconference. I would like to thank everyone for your participation. And you may disconnect your line at this time.